Operator: Good morning, and welcome to the Despegar Second Quarter 2019 Earnings Call. A slide presentation is accompanying today's webcast and is available on the Investors section of the company's website, www.investor.despegar.com. There will be an opportunity for you to ask questions at the end of today's presentation. This conference call is being recorded. [Operator Instructions] Now, I would like to turn the call over to Ms. Natalia Nirenberg, Investor Relations. Please go ahead.
Natalia Nirenberg: Good morning, everyone, and thanks for joining us today for the discussion of our second quarter 2019 results. In addition to reporting financial results in accordance with U.S. generally accepted accounting principles, we discuss certain non-GAAP financial measures and operating metrics including foreign exchange neutral calculations. Investors should read the definition of these measures and metrics included in our press release carefully to ensure that they understand them. Non-GAAP financial measures and operating metrics should not be considered in isolation as substitute for or superior to GAAP financial measures and are provided as supplemental information only. Before we begin our formal remarks, allow me to remind you that certain statements made during the course of the discussion may constitute forward-looking statements, which are based on management's current expectations and beliefs and are subject to a number of risks and uncertainties that could cause actual results to materially differ, including factors that may be beyond the company's control. For a description of these risks, please refer to our filings with the SEC and our press release. Speaking on today's call is our CEO, Damián Scokin, who will provide an overview of the second quarter and update you on our strategic priority. Alberto Gaffney, our CFO, will afterwards discuss the quarter financials and our outlook for the next quarter. And after that, we'll open the call to your questions. Damián, please go ahead.
Damián Scokin: Thank you, Natalia. Good morning, everyone, and thank you all for joining us. We are conducting business, and it's a challenging and mixed operating environment. Argentina continues to struggle, Brazil to a lesser extent, while Mexico's economic growth is slowing. While this resulted in a mid-single-digit contraction in industry gross bookings in Latin America, none of this is surprising as we have been facing these conditions for about a year now, and once again performed better than the industry. During most of the recent quarter, our profitability was impacted by the macro, a shift in our marketing spend as we launched our rebranding campaign and the cessation of operations of Avianca Brasil. Nevertheless, despite all these headwinds and excluding Avianca Brasil, we gained 20 basis points of market share. Later in the presentation, we will come back and speak more about the rebranding and relaunch and the Avianca Brasil situation. In the second quarter, we made good progress in our strategic objectives. At the end of the quarter, we closed on the Viajes Falabella operations in Chile, Argentina and Peru, while Colombia closed at the end of July. This acquisition provided us with additional access to customers in the fastest-growing regions in Latin America. Furthermore, our mobile app continues to evolve favorably providing our customers with an even more convenient and personalized booking experience. We continue to improve functionality and usability and mobile now accounts for 38% of total transactions, up 552 basis points from the same period of last year. While our Net Promoter Score was most likely impacted a bit by Avianca Brasil situation, we still delivered solid 380 basis points increase year-over-year. We have also advanced in our efforts to improve cash flows and capital allocation. Operating cash flow was a healthy $15.9 million in the quarter compared to $300,000, in the second quarter of 2018. In terms of capital structure, we opportunistically repurchased close to $20 million of our shares year-to-date, including $2.9 million during the second quarter. In total over the past year, we repurchased $46 million. As we look through the quarter, we were encouraged by the trends we were seeing in the industry. With this in mind, coupled with management and the Board's view of the value of our shares, the Board has approved a new share repurchase program for a total of $100 million that we expect to be executing promptly. Our balance sheet, liquidity and cash flow remain strong, which provides a solid foundation for future growth that will benefit our customers and shareholders alike. Turning to Slide 4. Over the past 15 months, we have experienced various headwinds from the more challenging macro environment to the most recent airline cessation of operations in Brazil. Through it all, we took some opportunistic actions to gain market share and better position the company for the long term. But at all times, we remain focused on executing on our long-term strategy. We will continue to build in our customer-centric approach, investing in technology and advancement of our digital platforms as this remains core to everything we do today and build the business for the future. In the second quarter of 2019 results, both from an operational and financial perspective, reflected the company's long-term perspective to run the business. We invested in rebranding through higher expenditures and shift marketing investments towards branding and changes to our website with a corresponding short-term lower returns. Despite such negative impact, which was more pronounced at the beginning of the quarter, we achieved a marginally positive market share gain when adjusted for the Avianca Brasil situation. Staying focused on our long-term goals has helped us deliver a healthy balance between price, volume and margin growth. Moving next to discussion of transactions and growth bookings on Page 5. Before getting into the details for the quarter, I want to mention that the contribution from Viajes Falabella was only for the month of June. The headwinds proved a bit more challenging. And as you can see on this chart, total transactions were down 6% in the quarter. The number of transactions was impacted by the macro environment, the shift in our marketing expenditure towards branding in April and the reduction of our exposure to Avianca Brasil. The last two factors were one-time impacts to the second quarter, and we are already seeing a recovery. After a weaker performance start to the quarter, transactions stabilized in May and recovered in June with the trend continuing into July. Driving higher sales and increasing share of higher-margin packages, hotels and other products with a particular focus on stand-alone packages is one of our key strategic initiatives. As a result of this effort in the second quarter, stand-alone package transactions increased 6% year-on-year, remaining our fastest growing product. Total packages, hotels and other travel products accounted for 40% of total transactions. This was down 200 basis points when compared to second quarter 2018 results, impacted by economic conditions in Argentina, which accounts for a significant share of this product offering. This also continued to drive a shift towards lower-margin products in the country. Room nights were down 8% year-on-year and flat ex-Argentina. Room nights had been growing about 20% ex-Argentina in prior quarters, and we are taking steps to get back to stronger levels. Gross bookings increased 15% on an FX-neutral basis, slightly slower pace than the prior quarter. As reported, gross bookings, however, declined 6%, impacted by weaker economic conditions in Argentina and to a lesser extent in Brazil, as well as the shift in marketing expenditure towards the rebranding campaign. Of note, though, once again this performance was better than the high single-digit contraction experienced by the travel industry in Latin America during the quarter. Excluding Argentina, as reported gross bookings increased 3%. Importantly, we saw a 23% year-on-year increase in FX-neutral ASP. Growth was driven by a mix shift from domestic to international travel across some key markets, reflecting more attractive customer pricing. Additionally, ASPs were higher in Brazil triggered by increased air domestic tariff resulting some contraction in capacity following Avianca Brasil's cessation of activity. Now turning to Slide 6; we launched the new campaign at the beginning of the second quarter. This is typically not a seasonally strong travel period for us, which made it the right time to rebrand. Before I get into the details about the campaign, I want to mention that this slide has linked to a short video about our rebranding campaign, which you can also access in the Investor Relations section of our website. We encourage you to review it. Now back to the rebranding campaign, we are traditionally recognized as the OTA of choice at the moment of purchase. The perception rooted in our broad product offering, strong technological platform, including mobile app, and attractive local currency financing options. When someone went online to book a travel, we were the best place to transact. We were a company focused on travel transactions. Now through our rebranding campaign, we are realigning the Despegar brand, the most recognized travel brand in Latin America, to our new strategy underway. We are ensuring that all travelers are aware of our comprehensive presence across the travel journey. A central part of the evolution underway is deepening the relationship with the customer. Our role is to add value to the customer experience every step of the journey. As shown on this slide, our rebranding campaign is built around the customer decision journey and is comprised of six distinct steps that follow this journey, inspiration, purchase, pretravel, travel, destination and post-travel. Through ongoing contact, we're able to gather an enhanced view of the customers and their preferences to help us create more personal recommendations at the inspiration stage. For many individuals, holiday travel can be a significant expense, and they want to make sure they get it right. In other words, the best value for their money. We're right there with them in the inspiration stage, advising them with our unique inspirations and getaway suggested packages. At the same time, this ties with our key strategy to drive increased sales and penetration of higher-margin packages. Through our vast research intelligence, we can tailor unique shopping and booking experiences while driving higher sales and customer loyalty. Through text and email we stay in contact with the traveler with reminders and other suggestions prior to leaving on the trip. While at their destination, we can also push suggestions of places to visit and things to do. We follow-up post-travel with surveys and feedback, further adding to the info we gather about the traveler and the process starts all over again, as many of our customers take several trips per year. These initiatives further reinforce our point of difference versus competitors. As we look ahead, we are bringing customers to the convenience of e-commerce along with expertise and personalized service of a local travel agent. I will now turn the call to Alberto to take you through the financials.
Alberto Gaffney: Thank you, Damián, and good morning, everyone. Please turn to Slide 7 for a review of our operations on a regional basis. We expanded FX-neutral gross bookings across our key markets, although at a lower growth rate than past quarters given the soft economic environment, mainly in Argentina and Brazil, as well as the short-term impact from the launch of our rebranding campaign in April. Starting with Brazil, transactions in our largest market declined 14% year-on-year, as orders were also impacted by our strategy to reduce our exposure to Avianca Brasil. By contrast, gross bookings were up 4% as reported and 13% on an FX-neutral basis. Higher air domestic tariffs triggered by the industry capacity contraction following the cessation of operations for Avianca Brasil, together with continued mix shift from domestic to international travel, contributed to a 20% increase in reported ASPs and up 30% on an FX-neutral basis. Next, Argentina. Transactions declined 14% year-on-year, mainly explained by lower international travel as the country remains affected by a difficult macro backdrop, together with a temporary shift in our marketing expenditures to the rebranding campaign. On an FX-neutral basis, gross bookings were up 30% while ASPs increased 51% year-on-year, relatively in line with inflation. Reported gross bookings and ASPs, however, were down impacted by a 32% FX depreciation. Of note, Argentina is already five quarters into recession with an aggregate dollar market contraction of 26% from second quarter 2018 until Q1 2019. This environment has a material impact on our client base disposable income, in particular in our discretionary spending category, leisure travel. Finally, the rest of Latin America posted an 8% increase in transactions, with FX-neutral gross bookings up 8% and ASPs flat. Reported ASPs declined 4% year-on-year, reflecting currency depreciation in the region, while reported gross bookings were up 3% in the period. Transactions in Mexico declined 1% year-on-year, reflecting a softer macro, although we continue to experience positive mix shift from domestic to international travel while Colombia delivered a 2% increase in transactions. Moving on to the financial results on Slide 8. FX-neutral revenues were up 5% year-on-year in the quarter despite market contraction and the impact from Avianca Brasil and rebranding Damián just described. Lower FX-neutral revenue growth was also impacted by reductions in customer fees and discounting package transactions to drive share gains in a softer demand environment and lower supplier bonuses, reflecting weaker customer demand. This more than offset the overall positive year-on-year mix shift to higher-margin international from domestic travel, driven by lower air supplier prices in the market. As reported revenues in turn saw an 11% year-on-year decline to $114 million in second quarter 2019, reflecting the FX translation effect from currency depreciation, mainly the 32% peso depreciation in Argentina during the period. The share of higher-margin packages, hotels and other transactions as a percentage of revenue was basically flat year-on-year, accounting for 59% of total of reported revenues. Taken together, these factors resulted in a decline of 11% in reported revenues in both the Air and the Packages, Hotels and Other Travel Products segment. Revenue margin in turn declined 63 basis points year-on-year to 10.2% in the second quarter. Turning to Slide 9; FX-neutral gross profit declined 5% year-on-year to $82 million in the quarter. In addition to the factors contributing to the weaker top line performance this quarter, gross profit was also impacted by our customer service initiative of rescheduling passengers affected by the cessation of activities of Avianca Brasil to other airlines. This resulted in a onetime charge of $1.2 million this quarter. We also saw some other puts and takes in cost of revenues. While we continued investing in lower fees and customer discounts and packages to drive market share gains, this was partially offset by lower installment plan costs as we reduced the availability of financing. This was further supported by our efforts on driving efficiency gains across our call centers, which resulted in lower fulfillment costs this quarter. Credit card processing fees also declined this quarter. Excluding the one-time charge for Avianca Brasil, cost of revenue was down 7% as reported in absolute terms. In terms of operating costs, as discussed in the prior calls, we anticipated higher marketing expenses this quarter, reflecting a one-time $8.6 million expense associated with our rebranding across the region, including an online TV, radio and print campaign. To help with the models, excluding this rebranding impact, comparable S&M expenses for the quarter would have decreased 3% to slightly over $42 million. On a per transaction basis, however, comparable S&M increased 3% year-on-year to 17.2%, reflecting the 6% decline in transactions. G&A expenses in turn increased 25% year-on-year, reflecting the export rights tax on services in Argentina introduced in January this year. Our higher stock-based compensation as well as administrative and professional fees related to the implementation of our strategic initiatives. In addition, G&A also includes a $400,000 bad debt charge related to the judiciary proceedings of Avianca Brasil. In sum, total comparable operating expenses were up 2% year-on-year on absolute terms. Looking ahead, we remain focused on seeking further efficiencies and leveraging our cost structure as we continue to grow the business. Moving on to profitability on Slide 10. Performance this quarter was impacted by the mix of internal and external factors, which resulted in an adjusted EBITDA loss of $7.3 million. Adjusted EBITDA for second quarter '19 was penalized by the three one-time items I just discussed, which totaled $10.2 million in the quarter. Comparable adjusted EBITDA, excluding these three one-time items, would have been a positive $2.9 million in the second quarter '19, down 76% year-on-year. Lower profitability this quarter reflects adverse market in Argentina and to a lesser extent in Brazil as well as a temporary switch in marketing expenditures to the rebranding efforts. Softer demand resulted in lower supplier volumes, which together with a reduction in customer fees and price discounts in packages to support online growth also contributed to this performance. Now a brief comment about Avianca Brasil and our exposure to the airline. Avianca Brasil has been subject to a judicial recovery proceeding since December 2018. Since that time, we have proactively worked to reduce our exposure with the majority of it secured with a Brazilian nonfinancial institution. As of June 30, 2019, the outstanding exposure amounted to $8.3 million. With respect to the unsecured exposure, we have reflected a charge of $1.6 million on the P&L, a potential write-off of the guaranteed portion of exposure would amount to an additional $8.6 million. Moving on to the balance sheet and cash flow items on Slide 11. Given the challenging macro environment we have been operating in, a solid financial position has been a competitive advantage. This has enabled us to opportunistically pursue strategies including an acquisition that will enhance our long-term competitive position. Our balance sheet is healthy with unrestricted cash and cash equivalents at June 30, 2019, totaling $322 million. Despegar generated cash flow from operations of $15.9 million in the second quarter as compared to $300,000 in the same quarter last year. This was mainly due to an increase in tourist payables due to higher average payment date in comparison with second quarter '18, together with a decrease in other assets and prepaid expenses, partially offset by a higher credit card receivable balance. During the quarter, we also made capital investments of nearly $17 million. Funds were mainly applied to technology hardware, office expansion and includes the first installment of $4.5 million net of cash acquired in connection with the Falabella acquisition. Coming up, let's move to Page 12. While our second quarter results continued to reflect the trend we have seen over the past year, we believe that the quarter represented a low point for the company. Further supporting this was improving trends we saw late May, which have continued into July. We are cautiously optimistic that we will see a sequential improvement in the third quarter keeping in mind there are still some uncertainties ahead of us. Most notably, the upcoming Presidential election in Argentina and that the overall environment is still weaker than last year. As Damián mentioned at the beginning of his presentation, even in these challenging times, we remain focused on executing on our long-term strategy. In the short term, however, with a lower revenue base, there was an impact to our margins. By staying focused on making the necessary investments for the long term, we are well positioned to outperform the competition when the macro environment improves. Additionally, we have the right strategy and the right team in place to generate consistent profitable growth and deliver value to our shareholders over the long run. Lastly, I would like to mention that we are planning for our first Analyst Investor Day. We will host this meeting in New York City before year-end. Be on the lookout for more information over the coming weeks. This concludes our prepared remarks. We will now take your questions. Operator, please open the line for questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Eric Sheridan of UBS. Please go ahead.
Eric Sheridan: Maybe can we get a little more granularity on what you were doing in the marketplace in terms of taking market share vis-à-vis your competitors and how that's taking hold against the broader macro environment? Love to get a little more granularity on the organic actions of the company that's resulting in that market share gain.
Damián Scokin: This is Damián. I -- we have hard time listening, there was a noise.
Eric Sheridan: Yes, sorry. I'm just curious about the competitive dynamic, you're taking share. What are the big organic actions you are taking that are allowing you to be a share taker in this environment while the macro environment continues to be a little bit of a headwind? I'm just curious about some of the more overt actions you are taking to take share.
Damián Scokin: Eric, thanks for the question. As you know, this -- in our business, there is a variety of actions we take for the more granular tactical pricing strategies we are following. We've been very aggressive on prices as you can see from the erosion of the debt rate, to product enhancements, digital and the product offering to come, to the launch of some new -- completely new lines of product types, what we call extra mile with our short-term offering. We believe those -- all those factors today have taken a good impact on the market. And we see we are gaining share across all markets, mostly on people shifting, the continued shift from off-line to online. So what we see is that the sector we are gaining share from is the small mom and pop offline agencies that being very similar to what we measure in the back. I don't know if that answers your question?
Operator: Our next question comes from Edward Yruma of KeyBanc Capital Markets.
Edward Yruma: Just a couple of quick ones for me. First, nice to hear the positive commentary about the trend starting to change. I guess, are you seeing that exhibited in kind of top of the funnel behavior, is the consumer starting to do more research on potential trips and kind of how does that inform how you think about how a trajectory should be in the next couple of quarters? And then two, since maybe we're less familiar with the air situation in Brazil with the bankruptcy of Avianca, are you seeing competitors offer capacity or do you think that there's been some demand destruction?
Damián Scokin: Thanks, Edward, this is Damián again. In terms of the consumer behavior, yes, we are seeing some better performance in book to look, if you want. People are willing to spend more. We're starting to see increasing ASPs particularly in Brazil and, to a lesser extent, in Argentina. So we are positive on the rebound of those two largest markets for this period. We are also seeing positive trends in Mexico. Our conversion rate in the upper part of the funnel has increased over the last two months. I would say the trend is positive, which makes us confident and optimistic for the next few months. As for the air situation in Brazil, what we saw happening, obviously, is a capacity constraint and a significant increase in domestic prices, which we believe will last for a while. And that has two impacts, two immediate impacts, one is a big hole now in domestic Brazil. And on the other hand, corporate traveling is somehow squeezing out touristic travel because there are no more seats available, they get squeezed on the higher prices.
Edward Yruma: Great. Maybe one other quick follow-up. I know part of the thought process here is that over time, prolonged periods of macro weakness would drive kind of consolidation or disappearance of a lot of the mom-and-pop physical travel agencies. Have you seen that process happen given some of the macro challenges in some of your key markets?
Alberto Gaffney: Hey, it is Alberto here taking your question. Yes, that is a trend that we're starting to see. As you might recall from prior conversations on this topic, usually when there is a macro disruption, it takes time for people actually if they are actually potentially thinking about selling, a market disruption actually has a near-term impact of actually change in the price expectations of a potential service. Okay. So it does take time for people actually to come to terms with a new, let's say, evaluation paradigm. From that perspective, on M&A front, okay, we're already starting different M&A dialogues to start upselling, okay. Then it comes to actually like less capitalized or weaker capitalized smaller players, mom-and-pop stores actually getting out of business, okay. If there's one market that actually goes at the very top of that trend is that could be Argentina, given that the dynamics of the business are weaker vis-à-vis other geographies, okay. And so yes, that's a trend that we're starting to see and that actually reinforces our ability in the future to continue gaining market share.
Operator: Our next question comes from Brian Nowak of Morgan Stanley.
Brian Nowak: I have two. The first one, just wanted to sort of ask for a few more specifics on what changes are you making from a branding perspective and sort of the remarketing initiative? I know you guys have had a leading brand position for quite a while. So what are the one or two biggest changes that you're making? And maybe talk a little bit to what you're seeing on the competitive front in some of the big markets? And then the second one, on Slide 6, like the color scheme. At the bottom, you talk about developing a loyalty program. I guess, can you just -- to come in the future. Maybe talk to us a little bit how we should think about the financial impact of a loyalty program to come over time?
Damián Scokin: Okay. Brian, hi, this is Damián. On the branding, yes, we decided to take the next steps on the Despegar brand based on extensive market research, we've been conducting over, I would say, the last two years regarding our brand. And that -- those results showed that although being the strongest travel brand in Latin America, we had significant opportunities to evolve from a transaction price oriented perception of our traditional brand into a brand that not only provides that, but also provides a more comprehensive assistance and more wider variety of products for the travel needs of different segments. So two main objectives to make the brand evolve out of a transactional, and this is related to our slides, to a more comprehensive set of products and to also a more comprehensive role within the travel experience of our consumers. That's totally in line, as you can see, with all the other initiatives regarding our value proposition and our product offering. So far, we are very good in terms of the perception that we see that our consumers got of our new branding. On the competitive front, second part of your question. Basically, we see the same trends we've been discussing in the past, competition being strong in a tight contracting market with local players less able to spend in marketing and carrying aggressively on prices and the global competitors with the same intensity levels in terms of marketing spend. I would say that there are no big news on the competitive front. As per the loyalty program, last piece of your question. We expect to launch the program, I would say, within the next six months. We are moving ahead, we have a partner, both in Brazil and Argentina, which will be the first markets where we launch the program and the program will have a positive cash impact on the company and has very attractive, not only cash but also profitability expectations for us. We will not disclose the specifics, but what I can tell you that if we hit our targets in terms of members and payed penetration, that will be a significant boost to our cash flows in the near term. And also, we start from the intention this loyalty program as a way -- as a component of this new value proposition that will help us increase our repeat rates of our customers. And in the long run reduce our marketing spend.
Alberto Gaffney: But from that perspective, the actual P&L or a financial statement impact of the program this year will be manageable given the time that Damián has just made reference to, okay. We are excited, but I think we definitely don't want -- we are reacting to your question, we don't want to get ahead of our results, okay. That will come in due time, and we're excited with the product. We are excited with the impact on how will that continue this strategy of actually becoming more of our relationship -- a tighter relationship with our client base from a transactional one. But again, the impact in 2019 will be manageable.
Operator: [Operator Instructions] Our next question comes from Kevin Kopelman of Cowen.
Emily DiNovo: Hi, this is Emily on for Kevin. I just wanted to follow-up on an earlier question about your market share. It looks like in Q2, you said it was stable year-over-year after gaining share over the last few quarters. And you noted fewer discounts in package transactions. I was wondering if there were other factors that impacted that? Or if you could give us any more color?
Alberto Gaffney: Hi, Emily. Alberto here. So to address your question. I think that of the different factors that affected what we believe is a low point on our trajectory, okay. We are particularly optimistic as we move forward. And we discussed in Avianca Brasil, okay. We discussed the rebranding exercise. The rebranding exercise, to put it in context, we actually allocated or reallocated a material portion of our branding -- of our marketing budget towards branding. And that had an immediate effect of actually decreasing -- of actually decreasing the return on investment in that marketing. That lower return on investment drives lower traffic. And as such, that actually impacted our performance, particularly in the month of April. Average in May, we actually saw that improving, and that trend continues in June and into July. So particularly, as you think about the market share gains, okay. We have been gaining systematically close to 100 basis points share over the past several quarters. So one way to think about it is with the rebranding is a bit of a reset button, okay, for the company. We feel we still were able to gain 20 basis point market share, okay. Adjusting for the impact in Brazil. So I think that is how we would like to put in context, a lower gain in share in this quarter is taking in consideration, in particular the situation in Brazil with Avianca and most importantly the rebranding exercise with initially lower return on our marketing spend.
Operator: [Operator Instructions] Our next question comes from Alejandro Lavin of Citi Group.
Alejandro Lavin: I have a couple of questions. The first is a quick one on buybacks. What is the average -- the weighted average price of your buyback program year-to-date? And the second question would be -- I'm just trying to get a better gauge on what is the improvement from May to July. So maybe if you could maybe discuss one -- a couple of KPIs at the end of July or maybe EBITDA margin at the end of July to see how much improvement was in the second quarter?
Alberto Gaffney: Alejandra, Alberto will be taking the questions here. And with regards to the share buyback. As you recall, we did execute on close to 26 million shares -- $26 million buyback during 2018, particularly in the third quarter. The average purchase price of those shares was $16-and-change, okay, like $16.30 approximately. Then we purchased shares shy of $3 million during Q2, and we continued buying back shares up until today, okay. And in order to make the most of the depressed valuations, and in particular, taking into consideration how management believes -- thinks about the increasing value of its shares -- of the company shares. The current price is in the low $13, okay. And we will detail the specifics as we probably said in the next half year, okay. But actually we have been buying between $14 and $13 per share. And all in all, as you think about the last 12 months share repurchase program, we have executed close to $46 million. With regards to the second part of your question. Importantly, the Q2 was from a quarter perspective as we are just mentioning to planning on prepared questions, Q2, you saw a deep investment in rebranding and started even the very last days of March and that actually decreased our return on investment, and we actually saw traffic coming down as expected given the change in marketing mix. And as you look into -- from a qualitative perspective, as you look into traffic conversion and ASPs coming up, et cetera, and the continued penetration of positives, we actually see a quite positive trend in the second part of May, June, into July. And we are not necessarily describing particular KPIs on a monthly basis, okay. But that trend makes us, leaving aside any volatility in the market that you might have seen recently with FX in the emerging markets, it makes us still feel confident of the strength of the second half and particularly the strength of the business in the medium- and long-term.
Operator: [Operator Instructions] As we have no further questions, I'd like to turn the conference back over to Damián Scokin for any closing remarks.
Damián Scokin: Thank you, operator. I would like just to thank all of you for joining the call today. As usual, if you have any further questions, please do not hesitate to reach to us and we'll be happy to follow-up. Thanks very much, and we are all looking forward to seeing you again in our next call. Bye.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.